Operator: Greetings and welcome to the Electrovaya Q1 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Richard Halka, Executive Vice President and Chief Financial Officer.
Richard Halka: Thank you, operator. Good morning, everyone and thank you for joining us on today's conference call to discuss Electrovaya’s Q1 2021 first quarter financial results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya and myself Richard Halka, Executive Vice President and CFO. On February 10, 2021, Electrovaya issued a press release concerning its business highlights and financial results for the three and three months period ended December 31, 2020. If you would like a copy of the release, you can access it at our website. If you want to view our financial statements, and MD&A, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to normal provisions relating to forward-looking information. We will provide information relating to our current views regarding trends in our markets, including size and potential for growth, our competitive position in our target markets. Although, we believe that the expectations reflected in such forward-looking statements are reasonable, such statements, involve risks and uncertainties and results – actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions apply to making forward-looking statements may be found in the Company's press release announcing the first quarter 2020 results and the most recent annual information form and management discussion and analysis under risks and uncertainties, as well as other public disclosure documents filed with Canadian Securities Regulatory Authorities. Please note that all numbers discussed on this call are in US dollars unless otherwise noted. I'd now like to turn the call over to Sankar.
Sankar Das Gupta: Thank you, Richard and good morning, everyone. Q1 2021 the December ending was the most important quarter for Electrovaya, perhaps one of the most important quarters in Electrovaya's history. After years of validation in the laboratories and intensive field operations in over 40 locations in the USA and Canada, finally the largest OEM in this sector Raymond Corp. part of the Toyota Group signed a strategic sales agreement with Electrovaya in December 2020. Now we have the most important company in this sector, partnering with us, started selling the battery, fully integrated in their lift trucks, a totally different arrangement than before. This is the company builder which transforms Electrovaya into a globally important lithium-ion battery producer. Under this recent agreement, we have started to deliver and the first set of batteries were delivered in late January to a Fortune 100 company, a big box retailer, a retailer with several thousands of stores each with multiple forklifts. Raymond and us are now receiving inquiries from places like Argentina, Australia and that is just countries starting with the letter A. But the real market is the other A country America, the United States of America. Raymond Corp. is a premium electric brand and the largest player in this commercial electric lift truck or electric forklift sector in the US. Just a few years ago, the largest electric vehicle sector in North America was the electric lift trucks larger than the electric passenger cars, over 2.6 million lift trucks operates in the U.S.A. and about 1.5 million of them are electric, mainly powered by lead acid batteries. Our mission is to transform this industry and have them be powered by our lithium-ion batteries. This journey has just started. Our batteries are uniquely safe. We have recently received the UL2580 listing for over 25 models of our high energy density battery. I gather this UL2580 listing for high energy density NMC lithium-ion battery is difficult to get. And Electrovaya maybe the only high energy density battery, which has passed this UL listing criteria. A great kudos to our technology and to our team for this achievement. We now have the tools of deep channel distribution and a rare UL safety listing as Electrovaya works to transform this industry in the next few years. Our revenue did triple year-over-year in this December quarter, but that was just scratching the surface. The real market domination game starts now. We might have had higher revenues in this quarter. However, for many e-commerce and retail distribution the December quarter is where they make most of their revenues, sometimes 60% to 80%, and prefer not to have any new products come into their premises as they focus on their revenues and deliveries. Additionally, our new strategic sales agreement has just started. Richard may say later a few words on this. We believe that our lithium-ion batteries have extraordinary performance, an extraordinary performance in safety and longevity or cycle life, along with industry-leading energy and power, which is why major Fortune 500 companies have started to use the Electrovaya battery inside warehouses, e-commerce, distribution, logistics and manufacturing. As a technology-intensive company, we have increased our personnel by over 60% to 80% in the last 12 to 14 months, added more resources to research and development, as we expand our technology focus to areas of solid-state battery, toxic solvent free processing, new ion conducting materials, system design, software and firmware. We expect major products to evolve into the electric bus, electric trucks, electric robots and automated guided vehicles. Thankfully the lithium-ion battery is still evolving and the Electrovaya team has some rare and unique understanding of this technology, and indeed it's evolutionary path where we can leverage our intellectual property and create technology breakthroughs similar to what we have done in the electric lift truck industry. On financing, after this quarter, we did raise some CAD 8 million from a small equity and exercise of some warrants. And Richard will perhaps go deeper into this. Regarding COVID, we are an essential service and our very dedicated and courageous team comes to the factory every day carrying out vital production, operations, engineering, research and admin tasks. We are focused on the health and safety of our employees to mitigate any potential spread of COVID-19, the company has implemented a number of commonsense initiatives at each plant including increased sanitation of frequently touched surfaces use of masks, portable air purifiers everywhere, social distancing. The company's air handling system are continuously flooded 24/7 with high-power ultraviolet disinfecting lamps. Our customers are growing. They all tend to be large sophisticated companies. In many of their locations, we are replacing the lead acid battery usage and in one location we have replaced the hydrogen fuel cell. Most of our clients have multiple locations, tens or hundreds of them, hence being able to seed our technology has been important. We are now seeing repeat orders from many of our Fortune 500 companies. We believe we must be providing exceptional technology in terms of cycle life, safety, energy, power and fast charging. Otherwise, these Fortune 500 companies would not have chosen us and neither would our strategic partner. I will now turn the call over to Richard to review our fiscal second quarter results in greater detail.
Richard Halka: Thank you, Sankar. As Sankar has already mentioned, this has been a very eventful quarter. We have taken steps to improve the company's liquidity and financial performance. Revenue increased threefold to $2.6 million or CAD 3.3 million compared to $900,000 or CAD 1.1 million in the fiscal first quarter of 2020. The year-over-year revenue growth reflects growing customer demand. EBITDA was negative $800,000 or CAD one million compared to negative and $900,000 or CAD 1.1 million in Q1 2020. The Q1 2021 EBITDA included a $500,000 increase in the R&D expenditures. As Sankar has mentioned, we've added more staff. We've increased the focus including cell chemistry, solid-state sales, system design, electronic firmware and software. We are excited to bring these people on and we are excited with the developments the company is making in these areas. Subsequent to the quarter end, the company raised $6.4 million or CAD 8.1 million, through a combination of a private placement of common shares, the exercise of warrants and the exercise of compensation options. We then prudently used a portion of the gross proceeds to reduce the outstanding revolving facility by CAD 2.3 million or $1.1 million, further strengthening our balance sheet. I'd also like to just add a few comments as Sankar has mentioned for our revenue in the first quarter. Electrovaya has historically not experienced seasonality in its business. However, in recent quarters, the company has been relatively low in the first quarter of the year, which reflects customer preferences to defer product delivery past the holiday season and into the New Year. This is due to an increasing e-commerce demand and the need to minimize changes or disruptions at high-volume distribution centers. Seasonality has also increased due to the impact of COVID-19 on the general consumer community as a result of people shifting from in-person shopping to online shopping, increasing the activity at distribution centers. Also I would add that the transition from the Raymond sales agreement to the Raymond strategic supply agreement was a very important step for us. As this agreement only became active in January 2021, we are only just seeing the result. In January, we delivered our first shipment as Sankar mentioned under this agreement to a big box retailer. I just want to give you a little more visibility on the equity raise that we did. In January we completed a private placement for gross proceeds of $2.6 million or CAD 3.3 million. There were also compensation options and warrants exercised for total proceeds of $3.8 million or CAD 4.8 million. The gross proceeds raised from these transactions were $6.4 million or CAD 8.1 million of which we used $1.8 million or CAD 2.3 million to make a voluntary payment to reduce the outstanding balance of our revolving credit facility. With the remaining $4.6 million or CAD 5.8 million to be used for general corporate purposes. In summary we strengthened our balance sheet, improved our liquidity, grew our revenue maintained our margins and controlled our costs. We also opened an exciting new sales channel and completed our first deliveries. We feel we are well positioned for growth as we have the working capital sales channels and to effectively compete in these sizable markets. I would now like to turn the call back to Sankar to wrap up. 
Sankar Das Gupta: Thank you, Richard. As we've been saying the Q1 2021 has been one of the most important and transformative quarter for Electrovaya, especially because of the new strategic sales agreement we have. This agreement provides Raymond with OEM exclusivity with the Raymond branded lithium-ion batteries that are UL2580 listed and compatible with most of their Class I, Class II and Class III Raymond lift trucks. The battery systems utilize the latest Electrovaya NMC ceramic lithium-ion battery technology and provides a full integration with the Raymond vehicles. You can see that batteries featured prominently on Raymond's website. We are also adding a number of additional sales personnel to our direct sales channel and that is also moving well. Next week the company is planning to have its annual and special meeting of shareholders on Wednesday because of COVID restrictions the AGM will be held virtually and you're all welcome shareholders. The company is asking at the meeting for shareholder authorization for a capability to consolidate common shares if and as needed. We hope we do not need to consolidate, but just in case. The company's Board of Directors is interested in a listing on a major United States Stock Exchange which could expand Electrovaya's shareholder base, increasing financing opportunities and increased liquidity of the common shares. A potential consolidation if needed enables the company to meet the minimum share price requirements for listing on a major U.S. exchange. I may mention that the company has not yet made any application for listing and there is no certainty or any assurance whatsoever that such an application will be made and no assurance that any such major U.S. stock exchange listing will occur. For more details on this proposal please view the management information circular filed on SEDAR. The company doubled its R&D expenditures in Q1 fiscal year 2021 compared to a year before the company has added more staff to focus on areas of cell chemistry, solid-state cells, system design electronic firmware and software. The company is planning to increase its patent position in solid-state lithium ion batteries, fast charging and other areas of importance. The emphasis on patents is being enhanced with a new patent agent with a strong technical background in lithium-ion batteries. The company continues to explore new developments including cell manufacturing in North America, utilizing its unique non-NMP manufacturing process and further developing new product lines including new batteries for the e-bus market. In January, the company purchased a large amount of cell assembly equipment from an erstwhile lithium-ion battery facility in Michigan. These capital expenditures will assist in the expansion of production and localization of key components. So in conclusion, the last quarter was momentous and historic for the company, because number one, the strategic sales agreement, which is and will be a massive company builder creates a globally relevant battery company; number two, our UL listing and unique competitive edge validating outstanding safety; the third, is the increased work on research and development and enhanced patent position in areas of solid-state batteries, fast charging and other key areas, plus the acquisition of a large quantity of cell assembly equipment; fourth, the preparatory work going on for listing in a major U.S. stock market; five, as Richard mentioned, well-positioned with working capital for growth from recent equity issues and strengthened balance sheet and reduction of debt, company reiterates previously issued guidance for fiscal 2021; and finally, each of our electric forklifts reduces 16 times more greenhouse gases then reduced by an electric passenger car, an important parameter for climate change mitigation and sustainable investments. 100,000 electric forklifts running with lithium-ion batteries is like having 1.6 million electric cars on the road. That concludes our remarks this morning. Richard and I would now be pleased to hold a question-and-answer session.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Julika Bucci [ph] of Florent Capital. Please proceed with your question.
Unidentified Analyst: Hi, guys. Good morning. Can you hear me all right?
Sankar Das Gupta: Yes we can. Good morning.
Unidentified Analyst: Hi, good morning. So, I think, Richard you spoke about this briefly in your comments, but can you walk us through the seasonality of the business and how it is today? And how we should be thinking about Q2 to Q4 as it pertains to your guidance targets for the year?
Richard Halka: Sure. I'll just touch a little bit on the guidance side of things. So our revenue last year was US$14.5 million. Our guidance for this year is to exceed US$28 million. In the first quarter of this year, we tripled what we had done last year. So we are still staying with the guidance, reiterating it. We expect our sales to increase momentum as we go through the year as it did last year. The sales channel is as Sankar has mentioned, and I've mentioned, we both reiterated, has just begun. Only January, the agreement with Raymond became active. So we're certainly see, -- we're certainly quite positive, that we're going to see, the traction from that agreement increase, as we go through the year. I'd also add that, we have just added, new sales staff on our direct sales team. They have -- those boots have barely hit the ground. And we'll start to see that momentum increase, as we move through the year as well. So I think what we'll see, is a similar trend, as we saw last year with our sequential growth increasing through the year. And our year-over-growth -- year-over-year growth, being very significant.
Unidentified Analyst: Okay. That's a good color. Thanks. Thanks for those comments there. And in terms of capacity on the production side, how many shifts is the company currently operating in? And are there any plans to expand to that -- to meet demand?
Richard Halka: At this stage, we have considerable scalability within our current production system. We're running maybe one or two assembly lines and a single shift. So obviously we can double or triple the shifts. And we can also, increase the number of lines working. So, we do not feel that, there will be a capacity constraint within the current year possibly, in 2022. But we'll have to see these things, as we move forward. But we certainly aren't concerned about a capacity limitation, in 2021.
Unidentified Analyst: Okay. Perfect. Thanks. And then, just my last question here, on the e-bus market, how is this opportunity advancing? And I mean, like is it like, reasonable to expect some further developments on this industry segment, as the year advances?
Sankar Das Gupta: Yes, very much so. The e-bus market is driven by, municipalities and cities purchasing these e-buses. And we are really pleased that, the new administration in the US is going to push for higher levels of electrification and similar happening in Canada as well. So we think the, e-bus is an emerging market and should emerge. And our battery, these high-voltage batteries we're building, in addition to e-buses is very suitable for the electric trucks as well. So we think both these two industry sectors still nascent today, should grow in the next few years.
Operator: There are no additional questions. At this time. I would like to turn the call back over to, Dr. Sankar Das Gupta, for closing remarks.
Sankar Das Gupta: Thanks Brad. That concludes our call. Thank you all for listening. Have a wonderful day. And stay safe. And hope to speak to you again, to our shareholders at our AGM, next week. Goodbye.
Richard Halka: Thank you.
Operator: This concludes today's conference. You may now disconnect your lines, at this time. Thank you for your participation.